Operator: Ladies and gentlemen, thank you for standing by. And welcome to Sunlands’ First Quarter 2022 Earnings Conference Call. [Operator Instructions] Today’s conference call is being recorded. I will now turn the call over to your host today, Yuhua, Sunlands’ IR Representative. Please go ahead.
Yuhua Ye: Hello, everyone, and thank you for joining Sunlands’ first quarter 2022 earnings conference call. The company’s financial and operating results were issued in our press release via newswire services earlier today and are posted online. You can download the earnings press release and sign up for our distribution list by visiting our IR website. Participants on today’s call will be our CEO, Mr. Tongbo Liu; and our CFO, Selena Lu Lv. Management will begin with prepared remarks and the call will conclude with a Q&A session. Before I hand it over to the management, I would like to remind you of Sunlands' Safe Harbor statement in relation to today's call. Except for the historical information contained herein, certain of the matters discussed in this conference call are forward-looking statements. These statements are based on current trends, estimates and projections, and therefore, you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. A number of important factors could cause actual results to differ materially from those contained in any forward-looking statement. For more information about potential risks and uncertainties, please refer to the company’s filings with the Securities and Exchange Commission. With that, I will now turn the call over to our CEO, Tongbo Liu.
Tongbo Liu: Thank you, Yuhua. Hello, everyone. Welcome to Sunlands first quarter 2022 conference call. We are shaken by the ongoing COVID-19 pandemic and the geopolitical conflicts. We are all facing huge macro-economic uncertainties. In tough times, I believe -- we believe the key to [indiscernible] is to remain focused on cost efficient spending and profitability, which will help us [indiscernible] get us through this difficult period. To that end, we continue to execute our business goals and profitability strategy during the first quarter. Thanks to our strategic efforts, we are pleased to have carried our momentum in 2022 with our first quarter net profit hitting a new high of RMB179.4 million, a significant improvement compared to a net loss of RMB53.3 million in the prior year period and 19% higher quarter-over-quarter. As we're focused on healthy and sustainable growth, we stepped up our cost management [indiscernible] and emphasized student acquisition efficiency. As such, we reduced our general and administrative expenses by 9.1% year-over-year. We also strategically scaled back on our marketing activities, as evidenced by a 51.4% year-over-year decrease in sales and marketing expenses. This led to 19.5% and 34.2% year-over-year decrease in new student enrollments and gross billings, respectively. We should note, however, as a percentage increase in our new student enrollment and gross billings are much smaller than our percentage savings in marketing spending, which is due to our improvement student acquisition efficiency as we made efforts to captivate new students and increases their lifetime value and stickiness by holding our course offerings to cater to our students different -- differentiated learning needs. Our balanced growth was also driven by our extensive premium course resources, which continue to effectively fulfill our students' learning demands. During the first quarter, we forge ahead amidst [ph] a challenging macro environment, optimizing our product mix and expanding our course catalogs to our master's degree-oriented and professional skills programs, while striving to provide our students with an optimal and efficient learning experience. In light of the increasing tough job market, in the first quarter, we concentrated more on designing and developing new courses to provide a diverse range of skills training for our students to enhance their overall competitiveness and thereby increase their employment opportunities. Moving on to each of our major course programs. As our work and social lives are shaped by the persistent epidemic and accelerated digital transformation, the job market is rapidly evolving amidst a shifting macro economy landscape and people's way of living life is also changing. Working professionals tend to [indiscernible] to stay relevant and competitive in their careers by upgrading their skills and obtaining qualifications. Meanwhile, people from all walks of life adopt our platform to enrich their lives with our online skill or hobby courses, especially during academic resurgences with a number of safe social activities is limited. As we move forward, this course is attracting students from increasing wider age range. Thanks to our [indiscernible] flexible and responsive online learning platform as well as our course content covering work credentials to general interest. Sunlands can become the most preferred choice. As a result, new student enrollments for our professional certification skills programs in the first quarter grew by 1% year-over-year and 20.9% quarter-over-quarter, despite the intentional reduction of marketing activities, as I just mentioned. Gross billings for the sector also increased by 6.7% year-over-year. We believe the gross momentum moment in our professional certification skills programs will persist, giving our diverse course offerings and learners enduring in [indiscernible] for new challenges. We will continue to add new course content and provide customized course specific to various group's unique preference. With respect to our master's degree-oriented programs, we have seen increasingly intense competition, as more industry players join the segment, especially after China's implementation of new regulation banning after school tutoring for students in compulsory education. As a result of competition and the fewer marketing promotions as part of our balanced gross profitability strategy, new student enrollments and gross billings for our master's degree-oriented programs declined. Despite the short-term impact, we are confident that our well proven profitability strategy, highly capable teaching staff and optimized teaching and services will position us for long-term growth in the segment. As there is still enormous potential according to Intelligence Research, market size for master's in entrance exam preparation courses has reached RMB6.1 billion in 2021, representing a 28.1% year-over-year increase, and is expected to continue to grow. To conclude, we believe that the price [ph] and quality of our courses, our effective teaching system and our experienced team advantages that will serve as catalysts for our future growth. Going forward, we will remain dedicated to empowering each of our students, individuals [indiscernible] faced by constantly evolving and enriching our product offerings to satisfy their needs, which we believe will benefit our long-term goals and contribute to China's core economic development against the micro headwinds. With that, I will turn the call to our CFO, Selena to run through our financials.
Selena Lu Lv: Thank you, Tongbo. Hello, everyone. We are excited to start year with encouraging first quarter results. Our net revenues reached RMB613.3 million during the quarter, above the top end of our guidance range despite an 11.7% year-over-year decrease. As we remain unwavering regarding many important sustainable growth instead of blind pursuit of scale expansion to meet the existing complex macro-economic environment. Meanwhile, we continue to manage our costs responsibly, thanks to which our operating expenses in the first quarters declined by 48.1% year-over-year. As a result, we suspend our profitability in this quarter with net profit margin reaching 29.3%, representing a substantial 37 percentage points increase year-over-year. Notably, we also maintained positive operating cash flow in the first quarter at RMB10.1 million. We are confident that our improved operational efficiency and profitability combined with our unremitting efforts to diversify course offerings, and enhance service quality will drive our future growth, while creating additional value for our students, employees and shareholders. Now, let me walk you through some of our key financial results for the first quarter of 2022. All comparisons are year-over-year and all numbers are in RMB, unless otherwise noted. In the first quarter of 2022, net revenues were RMB613.3 million, a decrease of 11.7% year-over-year. Cost of revenues decreased by 9.1% to RMB96.7 million in the first quarter of 2022 from RMB106.4 million in the first quarter of 2021. The decrease was primarily due to declined compensation expenses related to our cost of revenues personnel and reduced insurance related costs incurred for our integrated online education service package purchased by students. Gross profits decreased by 12.1% to RMB516.6 million from RMB587.9 million in the first quarter of 2021. In the first quarter of 2022, operating expenses were RMB345.8 million, representing of 48.1% decrease from RMB666.6 million in the first quarter of 2021. Sales and marketing expenses decreased by 51.4% to RMB295 million in the first quarter of 2022 from RMB606.4 million in the first quarter of 2021. The decrease was mainly due to lower spending on branding and marketing activities; and declined compensation expenses related to our sales and marketing personnel. General and administrative expenses decreased by 9.1% to RMB38.5 million in the first quarter of 2022 from RMB42.3 million in the first quarter of 2021. The decrease was mainly due to a decrease in rental expenses; and declined compensation expenses related to general and administrative personnel. Product development expenses decreased by 31.0% to RMB12.4 million in the first quarter of 2022 from RMB17.9 million in the first quarter of 2021. Product development expenses were mainly comprised of compensation expenses. Other income decreased by 54.9% to RMB9.6 million in the first quarter of 2022 from RMB21.3 million in the first quarter of 2021. The decrease was primarily because value-added tax exemption offered by the relevant authorities as part of the national COVID-19 relief effort came to an end in April 2021. Net income for the first quarter of 2022 was RMB179.4 million, compared with net loss of RMB53.3 million in the first quarter of 2021. Basic and diluted net income per share was RMB27.16 in the first quarter of 2022. As of March 31, 2022, the Company had RMB637.7 million of cash and cash equivalents and RMB219.9 million of short-term investments. As of March 31, 2022 the Company had a deferred revenue balance of RMB2,170.9 million compared with RMB2,348.2 million as of December 31, 2021. Capital expenditures were incurred primarily in connection with IT infrastructure equipment and leasehold improvements necessary to support the Company's operations. Capital expenditures were RMB0.9 million in the first quarter compared with RMB1.7 million in the first quarter of 2021. And now for our outlook. For the second quarter of 2022, Sunlands currently expects net revenues to be between RMB520 million to RMB540 million, which would represent a decrease of 14.2% to 17.4% year-over-year. This outlook is based on the current market conditions and reflects the Company's management's current and preliminary estimates of market, operating conditions and customer demand, which are all subject to change. With that, I would like to open up the call to the questions. Operator?
Operator: Q -  A - 
Yuhua Ye: Again, thank you everyone for joining this call. We look forward to speaking with you again soon. Good day and good night.
Operator: This concludes the earnings conference call. You may now disconnect your lines. Thank you, and have a wonderful day. [No formal Q&A for this event.]